Operator: Good morning, and welcome to the Bel Fuse Second Quarter 2025 Earnings Call. [Operator Instructions] As a reminder, this call is being recorded. I would now like to turn the call over to Jean Marie Young with Three Part Advisors. Please go ahead, Jean.
Jean Marie Young: Thank you, and good morning, everyone. Before we begin, I'd like to remind everyone that during today's conference call we will make statements relating to our business that will be considered forward-looking statements under federal securities laws, such as statements regarding the company's expected operating and financial performance for future periods, including guidance for future periods in 2025. These statements are based on the company's current expectations and reflect the company's views only as of today and should not be considered representative of the company's views as of any subsequent date. The company disclaims any obligation to update any forward-looking statements or outlook. Actual results for future periods may differ materially from those projected by these forward-looking statements due to a number of risks, uncertainties and other factors. These material risks are summarized in the press release that we issued after market close yesterday. Additional information about the material risks and other important factors that could potentially impact our financial performance and cause actual results to differ materially from our expectations is discussed in our filings with the Securities and Exchange Commission, including our most recent annual report on Form 10-K and our quarterly reports and other documents that we have filed or may file with the SEC from time to time. We may also discuss non-GAAP results during this call, and reconciliations of our GAAP results to non-GAAP results have been included in our press release. Our press release and our SEC filings are all available on the IR section of our website. Joining me on the call today are Farouq Tuweiq, President and CEO; and Lynn Hutkin, CFO. With that, I'd like to turn the call over to Farouq. Farouq?
Farouq Tuweiq: Thank you, Jean, and good morning, everyone. We are very pleased with our second quarter performance, which surpassed our revenue expectations and delivered gross margins at the higher end of our projected range. The Bel team really came through strong aided -- came through strong, aided by a few factors, including end market performance and an uptick in our intra-quarter turns, which we have not really seen much in recent quarters, particularly in our Power and Magnetics segments. From an end market standpoint, commercial air, defense and networking led the way along with certain pockets of distribution sales within the Power and Magnetic segments. These trends signal that we are heading into recovery as we have been anticipating following nearly 2 years of inventory destocking in the channel. And they reinforce our confidence in continued growth as we move into the second half of the year, setting aside some of the geopolitical noise around tariffs. During our last quarterly call, the potential effects of tariffs on our sales and margins were uncertain. In retrospect, tariffs had a limited impact in the second quarter, accounting for about $2 million of our sales and having a minimal effect on margins. Although we have slightly better clarity now, there are still many variables at play regarding tariffs, and we will continue to adapt to this evolving landscape in collaboration with our suppliers and customers. Overall, we are encouraged by the strong results this quarter and are excited by the momentum building within the business as we head into the second half of the year. Looking ahead to the third quarter, we are optimistic about continued growth with sales guidance in the range of $165 million to $180 million and gross margins projected between 37% and 39%. Strong bookings in Q2 support our expectation of sequential growth for the remainder of the year, and we remain confident in our ability to deliver value to both our customers and shareholders. With that, I'll turn the call over to Lynn to run through financial highlights from the quarter. Lynn?
Lynn Hutkin: Thank you, Farouq. From a financial perspective, sales for the second quarter of 2025 reached $168.3 million, reflecting an increase of 26.3% from the second quarter of 2024. Strong performance in our A&D end market and improved sales in our Magnetics segment helped offset the year-over-year decline in our consumer, rail and e-mobility end markets within our Power segment during the second quarter of 2025 compared to the same period of 2024. Turning to our product groups. Sales of Power Solutions and Protection in the second quarter of 2025 amounted to $86.8 million, representing an increase of 48.2% compared to the same period last year. This growth was largely driven by our aerospace and defense exposure, which contributed $32.6 million to the Power segment for the second quarter of 2025. On the consumer side, sales decreased by $1.7 million in Q2 '25 compared to Q2 '24, primarily due to the trade restriction imposed on one of our suppliers in China, as mentioned in prior earnings calls. Additionally, given that e-mobility sales were still robust in Q2 of '24, we saw a $2.3 million year-over-year decline in this end market in Q2 '25. Sales into the rail end market have been normalizing in 2025, coming off a strong 2024, resulting in a $3.3 million reduction during Q2 '25 compared to the same period in '24. These declines were partially offset by a $2.3 million increase in sales to our AI customers, bringing total AI sales for Q2 '25 to $2.6 million. Further, circuit protection sales increased by $1.8 million in Q2 '25 compared to Q2 '24. The gross margin for the Power segment in the second quarter of 2025 was 41.9%, representing a decline of 380 basis points from Q2 '24. If you recall, we had called out in last year's second quarter that approximately 400 basis points of the Power gross margin resulted from nonrecurring items that were reported at 100% gross margin in Q2 '24, such as cancellation fees. Adjusting for that, Power margins were up slightly from Q2 '24 due to the inclusion of the higher-margin Enercon products. Turning to our Connectivity Solutions group. Sales for Q2 '25 reached $59.2 million, an increase of 2.4% compared to Q2 '24. Sales for commercial air applications in Q2 '25 were $20.5 million, which represented an increase of $5.1 million or 33% from Q2 '24. Connectivity products sold into defense applications totaled $13.4 million in Q2 '25, an increase of 12% from Q2 '24. And sales into the space end market amounted to $2.3 million in Q2 '25, the same level as in Q2 '24. The gross margin for this group was 39.2% in the second quarter of 2025, representing an improvement of 30 basis points from Q2 '24. This margin expansion was largely attributable to operational efficiencies achieved through facility consolidations completed in 2024, along with favorable foreign exchange impacts related to the peso compared to the 2024 period. These positive drivers were partially offset by minimum wage increases in Mexico that took effect in 2025. Lastly, in the second quarter of 2025, our Magnetic Solutions group recorded sales of $22.3 million, representing an increase of 32.5% compared to the second quarter of 2024, led by a rebound in demand from our networking customers and through the distribution channel. This level of growth aligns with expectations discussed during last quarter's earnings call, where we noted this segment would be our highest percentage grower in 2025. The gross margin for the Magnetics group improved to 28.7% in Q2 '25 compared to 26.4% in Q2 '24, marking an improvement of 230 basis points year-over-year. This increase in margin was primarily driven by the higher sales volume in Q2 '25 as well as improved operational efficiencies from the recent facility consolidations in China. R&D expenses reached $8.1 million in Q2 '25, a higher level compared to Q2 '24, primarily due to the acquisition of Enercon. Our annual compensation increases also now occur in March each year, and this also contributed to the higher expense in Q2 '25. We expect future quarters to generally align with the Q2 '25 expense. Selling, general and administrative expenses totaled $30.9 million, representing 18.4% of sales. Compared to the prior year, SG&A increased by $6.8 million in the second quarter of 2025. The increase was primarily driven by Enercon's SG&A expenses, which contributed $6 million in the second quarter of 2025, in addition to annual compensation adjustments that took effect in March '25 and higher-than-anticipated medical claims during the second quarter of 2025. One last item to note on the P&L side as we look to Q3 is the foreign exchange environment that we're currently in and the weakening U.S. dollar versus each of the 3 currencies that Bel has exposure to, namely the Chinese renminbi, the Mexican peso and the Israeli shekel. We have hedging programs in place for each of these currencies to help mitigate some of the financial impacts of the movements in these rates, but our gross margin guide for Q3 of 37% to 39% does factor in some potential downward pressure related to FX. Looking at our balance sheet and cash flow, we finished the quarter with $59.3 million in cash and securities. During the second quarter of 2025, we utilized $30 million of cash for repayment of long-term debt. This paydown in the second quarter alone results in a $1.7 million reduction in our annual interest expense. Other cash uses during the quarter included $3.9 million on capital expenditures and dividend payments of $800,000. These payments were largely offset by $20.7 million in cash flow generated from operating activities during the second quarter. That concludes our commentary on the second quarter results. And I'd now like to turn the call back to the operator to open the call for questions.
Question and Answer:
Operator: [Operator Instructions] And our first question today comes from the line of Bobby Brooks with Northland Capital.
Robert Brooks : Congrats on the outstanding quarter. I was curious to hear a bit more about the trends you're seeing that underpin the guidance. The press release mentioned a rebound in networking and some other segments within distribution along with the strong Q2 bookings, which I think you said lead you to believe that you're going to see sequential growth in the back half. Maybe can we just expand on that? And is it old customers returning to normal ordering patterns, new customers coming into the fold or maybe something different?
Lynn Hutkin: Yes. So Bobby, what we had talked about earlier in the year is that orders had started to pick up in the first quarter, and we saw that trend continue in the second quarter. A lot of that has to do with the expected rebounding in networking, which largely impacts the Power and Magnetics groups and then also within the distribution channel. So if you recall, within connectivity, distribution had been fairly stable over the last couple of years for the Connectivity segment, but it had been depressed with the overstocking situation in the Power and Magnetics segments. So that's where we're seeing the rebound in orders, and that's what we saw coming through in the second quarter, and we continue to see that trend moving forward into the second half of the year.
Robert Brooks : Got it. So not necessarily it seems like just kind of a return to norm there, not necessarily new customers or just any kind of commentary on maybe new business wins?
Farouq Tuweiq: Yes. I would say, I mean, we remember, Bobby, we go through distribution, there's some quick turn business and things like fuses, right? So we do have new wins and customers that do occur. But for -- given our long cycle on average design business, you need a return to growth both from your OEMs and your disti. Disti obviously does touch a lot of new customers along the way and some recurring. So when we look at the channels, yes, we do see some new business, and we had some really nice new wins in the quarter, programs in our aerospace defense business, for example. So we do see new. But just given the long cycle of the business, you need your existing people with too much in inventory to wake up to get going again. So it's really an amalgamation of those factors.
Robert Brooks : Fair enough. That's helpful color. And then just maybe any other -- any strategic growth initiatives or kind of margin enhancements plans through the rest of the year that should be on your radar? Or is it more so just a continuous operational excellence and driving just general business efficiency? And maybe dovetail that with the Glen Rock, Pennsylvania facility sale. Can you remind -- I think that was in the Connectivity segment, but could you remind us kind of the rationale behind that? And is there any other facilities that you might be eyeing to sell?
Farouq Tuweiq: Yes. So the -- maybe starting out backwards here a little bit on the Glen Rock piece, that was -- I think we announced that Q1 last year or February call last year in 2024, if I recall correctly. And we were looking to drive margin improvements and drive efficiencies within the Connectivity business. So better align internal resources and the physical footprint space. So that's kind of really the genesis of that. And we've largely kind of moved out of equipment, and we've had the building held for sale for a while. But obviously, just given the environment there, it took a little bit longer to sell because we also want to make sure we got good value for it. And here we are now, we announced that, which obviously allowed us to generate some cash from the sale and then also pay down some debt. In terms of other buildings for sale, nothing for us to talk about at this point. I think the buildings that we own have significantly gone down in number and count because remember, we have one currently kind of held for sale, if you will, but nothing kind of new beyond that for the time being. When we look at strategic initiatives, we have strategic initiatives going on seemingly constantly across the organization of different scale and magnitude. And as we've kind of gone into this week here and leading up this call with the senior team and kind of hearing and talking about what we're doing in the business and the travels that we've done throughout the second quarter, there's a lot of energy and excitement. And quite frankly, the team is very busy and I think the north guiding star here is always for us is how do we grow and how can we grow more. And we got to play to win and be efficient in our way to go for it. As we've talked in the past, putting the margin expansion to your question, Bobby, obviously, we have a mix issue, right, where Magnetics is a lower-margin business, obviously, that kind of was a grower for us. So just putting that aside for a second, we always do challenge margins, where can we do more, where can we do better, how can we be better. I think we also need to be realistic in where we sit today on the margin side. We are probably industry-leading, if not in the 80th percentile, 75th percentile here if we to kind of throw a guess out there. So we are in a very good place in a comfortable place. The question becomes is, can we -- there might be some room to go here and there, but we also need to be smart about it and make sure we don't dig out because ultimately, we have, let's say, a very high percentage of our OpEx in R&D space. We got to make sure that we are putting that part of our P&L to work. So yes, we're always minded on margins. There might be opportunity to push up. But at the same time, we need to be smart about it. So we're comfortable with where they're at today on the gross margin side. We're trending a little bit more in the right direction on the EBITDA side. But we just want to be careful that there's not another 1,000 bps expansion here, right?
Operator: Our next questions come from the line of Christopher Glynn with Oppenheimer.
Christopher D. Glynn: So yes, just wondering, you talked about improving orders trends in the first quarter continuing to the second quarter. You also, I think, mentioned improving turns intra-quarter. It sounded a little bit more like a pivot dynamic that you saw, I guess, perhaps shortly after the last earnings call. So just kind of wondering if we could dive into that cadence a little bit.
Farouq Tuweiq: When we look at normal times, which means you probably have to go back 4 or 5 years ago, but usually, you head into the quarter with some expectation of go get. In those days, let's say, obviously, we have a lot of SKUs, but generally, your lead times are anywhere from 8 weeks to 12 weeks, let's say, right? So the things that were a little bit more quicker turns, you would see some of that intra-quarter turn. Obviously, we headed into COVID and post-COVID years where there was extended lead times. So we didn't really see much of that intra-quarter turns. And then we head into over inventory in the channel, right, which just kind of slows everything down. But today, especially on our shorter lead time businesses, for example, fuses, we are seeing heading into the quarter and not having orders and then all of a sudden, the order comes in, we ship it out within the quarter. So that is nice to see because that indicates a little bit more healthiness in the channel and overall the market. So it is an important indicator, I would say, that the market is functioning a little bit more than it's supposed to function or more the right way it's supposed to be functioning.
Christopher D. Glynn: Yes. And I imagine it's a little tough to bifurcate, but sense of like actual end market improvement in networking. I know that kind of Stage 1 of lack of destock and back to normal that you just described is powerful considering the depth and duration of the channel adjustments. But are you able to tease out kind of the end market is pivoting there?
Farouq Tuweiq: Yes. I think one of the challenges when we look at the distribution channel specifically, as a reminder for folks on the call, we do get POS data, right? So we're effectively seeing what our customers' customers are buying off the shelf. So when we look at what was coming off the shelf versus what we're selling to distribution, there was a mismatch, right? So I would say we -- when we look at our percentage decline in our businesses, it was more severe than what we would see, for example, the distribution levels. So when you achieve a little bit of normalcy, that's a little bit of healthiness. So I think to your question, Chris, is the numbers and even in the last couple of years were not as bad as ours, if you will, because there was ordering patterns. And now it seems like we're closing the delta. We also see the inventory levels, and those have come down to very, very low levels. So now you get to more of that parity where orders go out the door and you're more likely to get an order is the way I kind of think about it.
Christopher D. Glynn: Makes sense. And just want to ask about Enercon, you had your second full quarter here. I know you're out intra-quarter talking about it, and it sounds very good. But yes, just curious progress on the integration on the commercial side. I don't think there's a whole lot of operating integration intent there, but perhaps you could clarify that.
Farouq Tuweiq: Yes. So I think it's going kind of as we anticipated. Obviously, it's a great team doing great products in a great end market. And given where they play in the product and supply and the way they go to market with it, it's been as advertised. And I think the broader comment, just to expand on your question here, Chris, is we think of just defense globally, right? We're seeing it in our Connectivity business. and we're seeing that expand. So where we are in those markets today, which is a good place to be. I think the team is excited. We're, I'd say, collaborating better. I think we have some way to go. As you know, this is a long-cycle design business and regulatory. The customers are very busy with some replenishment sometimes. But we like the direction that we can go, but we can always do better, right? So I think we're situated very well to really capitalize on that acquisition and especially in that end market. So we remain excited and bullish on it.
Operator: Our next questions are from the line of Jim Ricchiuti with Needham & Company.
James Andrew Ricchiuti: I just wanted to ask about the -- what was a modest sequential decline in the Power Solutions gross margins? Is that mainly a function of the sequential growth in the legacy Power business, the increase in disti? And it looks like -- Lynn, if I heard you correctly, it looks like the Enercon contribution was roughly flat with Q1.
Lynn Hutkin: The Enercon contribution was roughly flat with Q1, yes. So Jim, are you asking about power margins from Q2 last year to Q2 this year or Q1 to Q2?
James Andrew Ricchiuti: No. Q1 to Q2. And so I'm wondering if it's just a function of the legacy Power business picking up sequentially or has it...
Lynn Hutkin: Correct. Yes. So it's right. So the growth was related not to Enercon sequentially. They were flat quarter-over-quarter from Q1, but it was the legacy Power business, which historically is a lower margin product group than the recently acquired Enercon business.
James Andrew Ricchiuti: Got it. I heard you talked about some wins in A&D. And it may be still pretty early in where we are with this. But are you seeing -- is there anything you can point to in terms of sales synergies as it relates to Enercon? Or are these just wins separate from what your ultimate plans are to drive more sales synergies with this business?
Farouq Tuweiq: Yes. So if we think of our Connector team and the Enercon team, they're both kind of winning on their own, I'd say, merit today. The joint wins, and we've seen some opportunities kind of cross the wall here and there. But as a reminder, Jim, we had said we don't really expect any revenue synergy in 2025 and 2026 is probably our best bet probably in the back half of '26, I think, is more realistic because these are long-cycle design businesses. It's a risk-averse customer base. And then also as we think of just ability to manufacture, there's a fair amount of backlog on the Enercon side that they need to get to. So it is a little bit of a belly full, but really it's driven by the customers' long design cycles. And also, we talked about kind of figuring out, well, what customers are we talking about, right? So for the Europeans, we need a little bit of a different playbook where we really kind of leverage some of our European manufacturing footprint to service those guys. So I would say it's -- we -- the market is just a long-cycle design business. But the good news is here is the teams on their own prerogative are seeing some nice wins.
James Andrew Ricchiuti: Good. Last question from me, just on commercial air. Again, if I heard you correctly, Lynn, it sounded like you had some nice growth in that part of the business. What are your -- what are you seeing there? And what kind of expectations do you have as you look out beyond the quarter in that part of the business?
Lynn Hutkin: Yes. So Jim, on commercial air, yes, if you recall, in Q1, it was just under $13 million. In Q2, it was $20.5 million. So nice sequential growth there. I think the outlook for commercial air trend is still robust. We do tend to see a bit of patchy ordering patterns, if you will, in that business. So will it be the exact same level as Q2? Unclear at this time, but we do expect it to be robust.
Operator: The next questions are from the line of Greg Palm with Craig-Hallum Capital.
Gregory William Palm: Congrats on the results. Going back to the last call, that $8 million to $10 million of so-called paused revenue coming out of China, how much of that was recognized specifically in the quarter? And is the assumption that the entirety gets recognized over the course of Q3, whatever it wasn't in Q2?
Lynn Hutkin: Yes. So we took a look at that, Greg, and it was about 2/3 of it ultimately got shipped in the second quarter and the balance is expected to go out in the third quarter.
Gregory William Palm: Okay. And Farouq, I think you made a comment at the end of your prepared, you said expect sequential growth for the remainder of the year. So are you saying you're expecting sequential growth in the December quarter in Q4 as well over Q3? I just wanted to clarify that.
Farouq Tuweiq: Yes, that's a good question. I think when we just look at the second half, we expect more robustness, I think that's a good point there, Greg. As a reminder, just for everybody on the call, usually Q1 is our weakest quarter of the year. And our strongest is usually Q2 and/or 3, but usually, they're kind of the strongest quarter, sometimes they move around a little bit. And then Q4 is somewhere in the middle. There's the Golden Week out in Asia and you go into the holiday seasons and kind of -- and so on. So we're not ready to sign up for sequential Q4 at this point. Obviously, we have to see the orders coming into Q3 to get a better read on it. But we do expect, obviously, overall, by definition, right, given the strong number in Q3 that we guided to in Q4 and in Q1, we expect the second half to be better than the first half overall.
Gregory William Palm: Yes. Okay. That makes sense. And I guess just sort of broadly speaking, in terms of what you're seeing currently, I mean, how do you know that some of this is not pull-ins ahead of tariffs? Like what's your visibility levels to suggest that none of this is sort of pull-in orders to get ahead of something that's maybe coming?
Farouq Tuweiq: I mean, listen, if we're to look at one singular order somewhere that sure, I mean, we could see that. But it's not a pervasive thing that we've seen. The other thing I would keep in mind, Greg, as we said is we got really good bookings in the quarter. So just by definition, you're going to be beyond these deadlines that got placed. And as we looked at July, we also continue to see robustness in the bookings, which would be beyond the, let's call it, moving deadline of tariffs, whatever it is now. So -- and also when we look at where it's coming from, it's coming from really all parts of the business. And also, if you remember, our revenue that we talked about in -- on the last call, roughly 10% of that from the previous year was kind of China, but we're seeing it across the business. The other thing I would say on the tariff commentary is when we look at the tariff levels today and kind of where they're shaking out at, I would say the market has digested that. So it's no longer the bogeyman in the room like when it was in the hundreds in terms of tariffs. So I think the market has recognized that. I think they're okay with these lower levels of tariffs, and we're seeing it come from different parts of our business. So it's not just people that are usually kind of exposed to China tariffs, and that's where the orders are coming from. It's much more pervasive than that.
Lynn Hutkin: And just to add to that, Greg, we did survey the global customer service team who would be kind of have their finger on the pulse there to see if there were pull-ins, right? In order for someone to actually have something pulled in from its regular scheduled ship date, they would need to put in that request that would go to our customer service department. So -- and we did not have any material input from that survey as well.
Gregory William Palm: Okay. Yes, I appreciate that color. And last one for me, A&D, which has become the biggest, most important end market, you covered commercial aerospace well. But in terms of defense and maybe this includes Enercon or outside Enercon, just can you remind us like what either programs, end markets, applications, like what do you have? I know it's broad-based, but is there anything that you have maybe outsized exposure to in the defense side specifically?
Farouq Tuweiq: I mean I would say I'd caveat the answer by saying there's a handful of primes, for example, in the U.S. and in Israel, right? So is there a technical customer concentration? Sure. But really, what matters is the program concentration, right? So when we look at the program level at a broader, let's call it, Bel Fuse A&D, I don't think there's kind of a singular kind of high-level concentration. So it's a pretty diverse program business. So it's not -- it's unlike a commercial air where there is some concentration, right? So it's a pretty diverse business.
Gregory William Palm: Got it. But you have exposure to missile defense. I guess how -- where does that sort of stack up in terms of programs or...
Farouq Tuweiq: Missile defense in total, I would say not sure we added that all up, but I would say we're generally heavier levered towards munitions. And generally, I would say, things that fly. We obviously do other things as well, but just general munitions and planes is kind of where we're on average levered.
Operator: The next questions are from the line of Luke Junk with Baird.
Luke L. Junk: Farouq, maybe hoping to start with the third quarter guidance. So you beat the high end this quarter, obviously, at the midpoint, you're implying a few million of sequential improvement into 3Q, but you were at the high end, it'd be another 7 points of growth into the third quarter. Just where should we think that upside leverage is in the model? Is it networking? Or should we think it's more broad-based? I guess, I'm gearing to your comments about the orders being robust overall. And I don't know if there's any book-to-bill context you could give us also.
Lynn Hutkin: Luke, it's Lynn. So as we look to Q3, I mean, it's really continued strength in aerospace, defense, and then the rebound in networking and the distribution channel. So if we're looking at Q2 to Q3 and potential growth drivers sequentially, it would really be more in the areas of networking and distribution, coupled with strong defense. And I think the range is to take into account the potential for more intra-quarter turns. So they're still not at the level that they were at historically, but we did definitely see an improvement this quarter from where they had been. So depending on the level of intra-quarter turns turning back on, that kind of is the broader range on the higher side.
Luke L. Junk: Okay. That's helpful. Maybe taking a step back, just bigger picture. I'm thinking of the efforts you've taken in terms of sales force-related efforts, be it leadership, be it the incentive structure and just the timing of starting to see some of that bear fruit relative to your longer design cycles and the sales cycle. Farouq, maybe you can just give us a snapshot of some of the progress markers that you're seeing as of midyear here that maybe aren't obvious in the business from the outside looking in, but maybe contribute later this year into '26.
Farouq Tuweiq: Yes. I think given the diversity of our business geographically in markets and SKUs, I think it's hard to say this thing did exactly this thing. And then we have had so many shots on goal that we're seeing the outcomes of that. So for example, one of the comments you mentioned, Luke, was around the commission structure. So we initially put that in place back in 2024. And then we modified it and enhanced it heading into 2025. So the results of, I think, maybe some of the wins that we're seeing is probably a little bit of modification on the incentive structure really starting out last year. As we also think around just setting targets and pushing out certain products and getting after things a little more efficiently, I think that mindset and that we play to win type attitude, we're seeing that come through. But also remembering that for the sales folks to win, you have to be able to produce things in a cost-efficient manner. So when we look at the facility footprint, we started that work maybe 2, 3 years ago at this point, where we've been investing a lot in CapEx and automation in the last 2 years in 2023 and in 2024 to automate our factories and lean into more lean type concepts, we're seeing the benefits of that. So if you have a sales team that's heading and shooting in the right direction, we have a manufacturing team that's doing great in terms of manufacturing effectively, but also procurement is very important, right? We got to make sure that we're procuring things at a good price point, especially places in our like legacy Power and Magnetics group, right? We want to make sure we're getting things at a decent price point so we can make our margins. So that's also good. As we think, quite frankly, on the executive team compensation realignment, 2023 was the first year where we really set out clear revenue and EBITDA targets for the team to hit, and now we're in our year 3 heading into 2025. So as we look at the ranges of what drove this, I think it's amalgamation of these things. So -- and I would say it's a robustness. It is a team effort. It's an orchestra, whether it be from customer service to sales to R&D, to manufacturing, to procurement, everything matters. And I think that's kind of the mindset we're leading with. So I'm generally not a fan of one-trick ponies because if that goes the other way, then you may get burned. I think what I like about it is the swelling of team effort to win. We're not perfect, and we got room to grow and get better, but we like what we're seeing. And obviously, I think some of the outputs of what we're seeing today is that work that we've seen in the last few years.
Operator: Our next questions are from the line of Theodore O'Neill with Litchfield Hills Research.
Theodore Rudd O’Neill: Yes. Congratulations on the good quarter. Lynn, you sort of touched on this, but Connectivity Solutions was up fairly significantly sequentially Q1 to Q2. Were the trends any different there than what you're seeing year-over-year?
Lynn Hutkin: So from Q1 to Q2 versus sequentially?
Theodore Rudd O’Neill: I'm sorry, sequentially versus year-over-year.
Lynn Hutkin: Right. So we did see -- so if we're looking year-over-year, there was an increase in commercial air, not as pronounced versus the sequential increase from Q1. So commercial air in Q2 last year was just over $15 million versus just under $13 million in Q1 of '25 and then the $20.5 million in Q2 '25. I guess looking year-over-year, we did see a drop in their distribution sales. So while we saw distribution waking up in Power and Magnetics during the quarter, we did see a slight step back in Connectivity distribution. So that was also a driver from Q2 last year to Q2 this year. Does that answer your questions, Theo?
Theodore Rudd O’Neill: And Lynn -- yes, sure. And on depreciation, it's up -- it's almost doubled year-over-year. What's happening there?
Lynn Hutkin: So with the acquisition of Enercon in November, we brought on their -- all of their PP&E, and we have the step-ups. So depreciation and amortization went up quite a bit year-over-year just because of the new tangible and intangible assets that we brought on to the books.
Operator:
Q - Hendi Susanto:
Hendi Susanto: Congratulations on strong results. Farouq, my first question is about the market recovery and inventory rebuild. Some sales will go towards inventory rebuild. On the other hand, like short lead times may not necessitate inventory rebuild to be done like in the past, and there's also some uncertainty on the tariff that may drive customers to be more cautious when it comes to building inventory. So let's say, like in 2025, you will see some benefit on inventory rebuild. But at the same time, like how should we manage our expectation? And what are some guideposts so that we are not awfully optimistic because inventory rebuild may take some time?
Farouq Tuweiq: Yes. I would say, Hendi, that's a good question. I think maybe a couple of things is our industry and Bel Fuse, obviously, has been in this trough for a very long time, let's call it, maybe the industry has been in the roughly 2 years. And when we look at that 2-year context compared to history, that is a very long time. So now we're coming out of a 2-year prolonged trough cycle, I think we do see customers being overall more cautious and hesitant. And quite frankly, we potentially thought growth would have come maybe end of last year or where we would have seen those really, really low inventory levels. So we are operating from a customer universe where people are just more hesitant given tariffs and geopolitical concerns and the world we come in. But at the same time, in a normal cycle, people are not necessarily building inventory, right? They are trying to order things to make products and get it out the door. And sure, you build up some inventory along the way. But when inventory builds up, usually the system is not working appropriately. So now we're heading into hopefully the other side of the cycle where the system is working a little more appropriately.
Hendi Susanto: Okay. And then my next question is the setback due to special Chinese supplier situation that has started like several quarters ago. Can we revisit that, whether it is now fully behind?
Farouq Tuweiq: I mean it's fully -- I'd caution with that because generally, the Chinese suppliers, we were selling some consumer end markets and distribution. So with the weakness in that channel, it was a little bit -- obviously, we lost the revenue and that hurt. So step one to rebuild that lost revenue is to find alternative suppliers. And the team has done a really good job at finding alternative suppliers. So I think we've replaced from a supplier concentration perspective, a lot of those SKUs. Now the question becomes is, can we put those in the market and get them designed in and therefore, get the orders going. I would say the team has done a great job of rebuilding supplier base. I would say that we're definitely more robust on that business as we look out to the year-end here, and we think we might recover some of that revenue. So we like where we're going, and I would say they're a little bit ahead of schedule in terms of what we thought they'd rebuild that business into.
Lynn Hutkin: And Hendi, just to add to that, that Chinese supplier, the revenue related to that dropped off in May of last year. So if you're looking at the year-over-year headwind, that is behind us where the comp will be apples-to-apples starting in Q3.
Hendi Susanto: And then, Farouq and Lynn, would you talk about the pricing trends this year, whether there's some pricing decline embedded in the contract? And what is the usual timing of pricing trends or whether or not you are able to sustain your pricing?
Farouq Tuweiq: Yes. I think that's a very big question, Hendi, and I think I want to caution, we're not kind of like more of a semi-cycle where there's too much inventory and every price is down. Our products are designed in, and it really depends on what end market we're talking about. Aerospace and defense, we tend to think of it as a price flat, price up environment, right? Some of the other areas, sure, it could be a price flat, price down. But overall, I would say we haven't really seen the pricing pressures, but generally, pricing pressures come in better markets where you will have also new products launching hopefully with higher margins. So we tend to think about pricing, we're in maintenance mode versus we're heading to growth or not everything gets priced down like maybe doing more of a semi side of things. So for us, obviously, we're always mindful of it. We'll have customers ask for it, sure, but we're also launching new products at higher margin, but we got some good defense business that is a usual price flat, price up environment. So it's a big question for us given the diversity of our SKUs and pricing powers.
Operator: At this time, I'll turn the call back to Farouq for closing remarks.
Farouq Tuweiq: Thank you, everyone, for joining our call here this morning, where we are excited about the results that came in here and look forward to connecting with you again as we go through the second half of the year. I appreciate everyone's time, and have a good day.
Operator: This will conclude today's conference. You may disconnect your lines at this time, and thank you for your participation, and have a wonderful day.